Operator: Please standby. We are about to begin. Good day, and welcome to the Crown Castle International Q4 2015 Earnings Conference Call. Today’s conference is being recorded. At this time, I’d like to turn the conference over to Son Nguyen, VP Finance and IR. Please go ahead, sir.
Son Nguyen: Thank you, Matt, and good morning, everyone. Thank you for joining us today as we review our fourth quarter and full-year 2015 results. With me on the call this morning are Ben Moreland, Crown Castle’s Chief Executive Officer; and Jay Brown, Crown Castle’s Chief Financial Officer. To aid the discussion, we have posted supplemental materials in the Investors section of our website at crowncastle.com, which we will refer to throughout the call this morning. This conference call will contain forward-looking statements which are subject to certain risks, uncertainties and assumptions, and actual results may vary materially from those expected. Information about potential risk factors which could affect our results is available in the press release and the Risk Factors sections of the company’s SEC filings. Our statements are made as of today January 28, 2016, and we assume no obligations to update any forward-looking statements. In addition, today’s call includes discussions of certain non-GAAP financial measures. Tables reconciling these non-GAAP financial measures are available in the Supplemental Information package in the Investors section of the company’s website at crowncastle.com. With that, I’ll turn the call over to Jay.
Jay Brown: Thanks, Son, and good morning everyone. As you saw from our release yesterday, the fourth quarter was another great quarter, bringing 2015 to a strong close and positioning us to raise our full-year 2016 outlook. For the full-year 2015, AFFO per share of $4.30 was up 8%, compared to 2014. And our increased midpoint for full-year 2016 outlook for AFFO per share of $4.68 represents a 9% increase compared to 2015. In addition, to delivering great results and extending our track record of execution, 2015 was marked by several significant accomplishments. During 2015 we achieved an investment grade credit ratings from each of S&P and Fitch Ratings. Also during the year, we redeployed capital from the divestiture of our former Australian subsidiary to further grow and strengthen our leadership position in wireless infrastructure in the U.S. which we believe is the most attractive market for wireless investment. Today with our portfolio of approximately 40,000 towers and 16,000 miles of fiber supported small cell deployment, we are able to provide wireless carriers comprehensive solutions across the country as they continue to upgrade and enhance their networks to the increasing demand for mobile data. Shifting to the fourth quarter results in Slide 4, site rental revenue grew 9% year-over-year from $723 million to $785 million, an increase of $62 million. The $62 million increase is comprised of $49 million of organic site rental revenue growth, less $17 million in adjustments for straight-line accounting associated with contracted fixed rate tenant escalation, plus $30 million in contributions from acquisitions, which primarily consisted of Sunesys and other adjustment. The organic site rental revenue growth of $49 million represents growth of 7% year-over-year, comprised of approximately 10% growth from new leasing activity and cash escalation, net of approximately 3% from tenant non-renewals. Moving to Slide 5, our fourth quarter results for site rental gross margin, adjusted EBITDA and AFFO, exceeded the midpoint of our previously provided fourth quarter 2015 outlook. Turning to investment activities as shown on Slide 6, during the fourth quarter we invested $251 million in capital expenditures, of which $29 million was sustaining capital expenditures and $222 million was discretionary investment. Included in our discretionary investments is approximately $23 million for land purchases. Our proactive approach to achieving long-term control of the ground beneath our sites is core to our business, as we seek to control our largest operating expense and produce stable and growing cash flow over time. Today, three quarters of our site rental gross margin is generated from towers on land we own, or control for more than 20 years. Where we have ground leases, the average term remaining on our ground leases is approximately 30 years. Of the remaining discretionary investment, we invested a $199 million in revenue-generating capital expenditures, consisting of $90 million on existing sites and $109 million on the construction of new sites, primarily small cell construction activity. Small cells continue to perform ahead of expectation and currently generate 12% of total site rental revenues and 11% of total site rental gross margin. Excluding the benefit from our recent acquisition of Sunesys, small cell site rental revenues grew approximately 30% year-over-year. Today our small cell networks consist of approximately 17,000 nodes on or under construction, supported by 16,000 miles of fiber. Of the 17,000 nodes, approximately 12,000 of the nodes are on air with the other, approximately 5,000 nodes under construction and expected to be completed over the next 12 months to 24 months. Continuing on the financing activities, during the quarter we paid a quarterly common stock dividend of $0.885 per share or $295 million in the aggregate. For the full-year 2016, we paid a quarterly common stock dividend in aggregate of $3.345 per common share. Additionally, in January we closed from a $5.5 billion Senior Unsecured Credit Facility. Proceeds from the New Facility, together with cash on hand, were used to repay our previous Senior Secured Credit Facility. As of January 26, we had $1.6 billion of availability under our five-year revolver. As a result of the refinancing our senior unsecured notes were upgraded by S&P to investment grade. Even more impactful than lowering the cost of debt we believe that an investment grade capital structure will ultimately drive down our cost of equity. Equally as important, we believe having access to a deeper pool of capital will result in a more stable, long-term cash flows and increase flexibility to pursue discretionary growth opportunity. Moving on to the full-year 2016 on Slide 7, we have increased our expectations at the midpoint for site rental revenues by $10 million, site rental gross margins by $7 million, and adjusted EBITDA by $12 million and AFFO by a $11 million. The increase in the outlook reflects the strong results from the fourth quarter, our continuing belief that 2016 leasing activity will be similar to 2015 and the timing benefit related to tenant non-renewals occurring later than previously expected. It is important to note that our overall expectations for the number of tenant non-renewals and aggregates, has remained unchanged. For more detailed information regarding our current book of contracted tenant leases including our expectations for non-renewals, those are available in our supplemental information package. At the AFFO per share line, the updated midpoint of our full-year 2016 outlook resulted 9% growth year-over-year compared to 2015, increasing from $4.30 per share to $4.68 per share. Like 2015, 2016 is shaping up to be another great year. We believe the essential elements for long-term shareholder value creation are as attractive as they’ve ever been. We continue to see stable and consistent leasing activity from our carrier customers. We have a runway of attractive discretionary investment opportunities, primarily in the form of small cells to enhance and grow our business. And we have an opportunity to manage the cost of debt and lower the cost of equity as we transition to an investment grade balance sheet. All of this gives us confidence in maintaining our long-term goal of delivering AFFO per share and dividend per share growth of 6% to 7% on an annual basis. Before turning the call over to Ben, I’d like to take just a moment to discuss the announced succession plan. I’m honored and excited to have the opportunity to lead the Crown Castle team. I have had the privilege of working with Ben over the last 17 years and he has been a great friend and mentor to me. Over the last eight years, through Ben’s leadership as CEO, we have grown the business significantly. Increasing AFFO per share from $1.66 to $4.30, and have successfully doubled the size of our tower portfolio, established ourselves as the leader in small cell and strengthened our balance sheet, positioning us better than ever to capitalize on the tremendous opportunities that lie ahead. I will benefit greatly in my new roles, I’m being surrounded by a very talented and experienced executive team that has been instrumental in all of these accomplishments. Together with the rest of the Crown Castle Team, we are looking forward to continuing to execute on our strategy of driving long-term shareholder returns through disciplined capital allocation, dividend growth and delivering for our customers. And with that, I’ll turn it over to Ben.
Ben Moreland: Thanks, Jay, and thanks to all of you for joining us on the call this morning, extra early. I’ll touch on our succession plan in a moment. First, I’d like to comment on 2015 results and what lies ahead. In short we had a great year, exceeding our expectations throughout the year and executing on strategic actions through the sale of our Australian subsidiary and the purchase of the Sunesys fiber assets that really sets us up well to win in the future. I want to thank my colleagues at Crown Castle for their hard work in delivering on our commitments in 2015. Now on to the future. As Jay just mentioned, we believe we have the essential elements for long-term shareholder value creation are as attractive as ever. I’d like to spend a few minutes to further elaborate on Jay’s comments regarding each of these elements. These included a continued, healthy and sustained leasing environment over the next several years, a long runway of investment opportunities that we expect will drive high quality long-term growth and all the while maintaining a strong balance sheet and managing risk appropriately to drive down the cost of capital. First on leasing, we believe that we’re in the midst of a multi-year wireless investment cycle that will result in same level of leasing activity similar to what we have experienced in 2014 and 2015, and that is what we expect to see in 2016. For 2016, we’re expecting approximately $170 in new leasing activity, of which – $115 million will come from tower leasing. The $115 million in tower leasing represents the space of adding approximately one tenant equivalent over a 10-year period on our 40,000 towers, or a tenth of a tenant per year per tower, which is approximately our average pace of annual leasing over the last seven years. Importantly, through those seven years, we’ve been through a number of different macro economic cycles and covered several different wireless investment cycles in terms of technology, level of engagement by carrier customers in different environments. Given the underlying long-term perspective – positive fundamentals from the continued increase in mobile data consumption, we believe that this pace of leasing is a reasonable expectation for our future growth. Industry research projects mobile data to increase seven-fold between 2014 and 2019 a compounded annual growth rate of 47% or roughly doubling every two years. Recently some of the wireless carriers have reported mobile data growth even higher in the range of 60% to 75% per year growth during 2015. Against this backdrop, we expect the carriers to continue to invest on a consistent basis to maintain and improve network quality, which is the competitive necessity as carriers seek to retain existing customers, attract new customers, and monetize their networks through the deployment – development of new revenue streams such as over-the-top video and telematics. As a shared wireless infrastructure provider, Crown Castle stands ready to assist wireless carriers in this endeavor by providing them with quick and cost effective access to our wireless infrastructure as they seek to upgrade and enhance their networks. With our tower portfolio and small cell expertise, we have the unique capability to deliver across all means of shared infrastructure to meet the network needs of our carrier customers. Additionally, the runway for our growth is further supported by the amount of spectrum, but is expected to be deployed over the next several years, including the spectrum from last year’s AWS-3 auction, the spectrum from this year’s anticipated broadcast incentive auction and the spectrum currently held by the carriers and others such as a DISH and FirstNet. Turning to capital allocation, when we evaluate various investment alternatives we have whether its small cell share purchases or acquisitions, our goal is to drive long-term growth in AFFO per share and dividend per share. By this measure we are very excited by our recent and ongoing investment in small cells. Today our $3 billion investment in small cells generates a yield of approximately 8%, inclusive of our initial $1 billion investment in NextG, the acquisition we did in 2012 with an initial yield of approximately 3% to 4% and our continued Greenfield investments. We are underwriting new small cell builds with anticipated initial yields of 6% to 8% on the anchor tenant, where we believe we have the opportunity to drive yields higher through co-location. But the second tenant expected to achieve a low-to-mid teens yields and the expectation of further yield accretion, when we add third and fourth tenant overtime. On this point, in addition to the anchor tenant, we are seeing strong co-location demand on our small cell networks. We have focused our small cell efforts in the top 25 markets and believe that these early systems will be some of the most attractive locations in the future, given their franchise value. Just like towers, the need for network densification is driving small cell growth. Given the challenges in the carrier space and bringing more capacity to many urban and suburban geographies, we need to get closer to the subscribers and focus on reusing spectrum more efficiently, carriers returning to small cells as a critical tool to improve their networks. With a very similar business and economic model as our tower business, we see a long runway of attractive investment opportunities in small cells. Shifting to the balance sheet and risk profile, we view our dividend as a growing annuity paid to shareholders, where we effectively pass through the cash flows we generate from providing the U.S. wireless carriers access to mission critical infrastructure. Our goal is to protect and grow the dividend stream overtime. Our dividend is supported by long-term, recurring, contracted leases that we have in place, which currently represent approximately $20 billion in future contracted rent payments, plus future growth from contracted rent escalators and a continuing wireless investments being made that I previously mentioned. From this foundation, we are focused on managing, financial and operating risk, as we allocate capital and grow the business. On the balance sheet side, we believe in maintaining an investment grade balance sheet should provide us with access to a deeper and more stable pool of capital, reducing risk through our cash flows and providing us with an increased flexibility to pursue potential investment opportunities, both of which are supportive of the secure and growing dividend. This same perspective drives our capital allocation decisions as we continue to believe that the U.S. market provides us with the most attractive, risk adjusted return opportunities. Bottom line with a sustained level of leasing that we expect to continue over the next several years, the small cell opportunities we see ahead of us, the strength of our balance sheet and the quality of our business. We believe we can continue to deliver 6% to 7% AFFO per share and dividend growth per share. Further, we believe our expected growth rate combined with our current dividend yield of approximately 4.3%, represents a very attractive long-term total return profile for share holders. Finally, I’d like to speak to our CEO succession plan that we announced last night. I began contemplating this and subsequently engaged the board in this conversation sometime ago after reflecting on a number of considerations that led me to conclude that 2016 was the right time to begin this transition. First, as we’ve discussed on this call, the company is incredibly well-positioned for this transition. Having accomplished a number of strategic objectives that I believe are important to set us up for the next generation, and market leadership and value creation. Including on this list – included on this list would be the assemblage of our unrivalled tower portfolio, the sale of our Australian business, the acquisition of Sunesys, and leadership in the exciting small cell arena, and the strengthened balance sheet, with the achievement of the investment grade rating late last year. Second, Jay is ready, ready to step up. We’ve worked together for 17 years since the early days of Crown Castle and he has been an integral part of all we have accomplished. He has the trust and respect of the board, the executive team, and the organization, as well as the investment community. I’m very fortunate to have him as a successor and have absolute confidence that he is the right leader to lead the organization into this next chapter of success. Most importantly though, Jay will be leading a team of seasoned professionals who are very good at executing for customers across all our assets, both towers and small cells. Finally, on a personal level, it’s been an unbelievable privilege to lead Crown as CEO these last eight years. I have always found it valuable from time to time to push myself out of my comfort zone in search of new challenges. Many years ago, I lost my dad to a heart attack when he was only 47. In 2014, my wife had a breast cancer scare and fortunate was caught early and through surgery has resulted in a full recovery. With our kids out of the house now our once structured lives have changed. It is with all these considerations and the reminder that life is short, that I sense this is the right time to initiate this move out of my comfort zone. I look forward to pursuing many new challenges, some personal and some professional. I also look forward to my continuing investment and involvement with Crown Castle in this new capacity, ensuring leadership continuity as Executive Vice Chairman. I am proud of what we’ve accomplished and through the succession plan, I’m highly confident this team will continue to reward shareholders, customers and employees for choosing Crown Castle. Thank you to all of you on this call who have supported me and this management team over the years. I look forward to our continued association. And with that operator, I’d be happy to turn the call over for questions.
Operator: Thank you, sir. [Operator Instructions] We will take our first question from David Barden with Bank of America.
David Barden: Hey guys, thanks Ben. You know this is not the last quarter we’re going to chance to talk, but thanks for all that and the contributions. And Jay congrats on the job. I’m looking forward to continue to work with both of you guys. Kind of focusing on the business is the kind of look ahead I guess I’ve got a couple of questions. One just on the obvious, with respect to kind of all the noise coming out of Sprint with respect to their network architecture, we don’t have to talk about Sprint necessarily as to say, there’s a carrier out there that’s looking to explore new more efficient ways to build a network and it seems that they are looking to reevaluate their renewal schedule on tower leases as we go forward. I was wondering if you can kind of talk about, what if anything you see ahead for that strategy. And then second, Jay a year ago, we were sitting here and I think the outlook was for new site leasing activity of maybe 5% and now we’re sitting here looking at actually 6%, a better outlook for this year over the course of last year that outlook actually went up by about a percentage point. So what are the factors that you see, maybe evolving in 2016 that could do to this year’s guidance, what happened to last year’s guidance in terms of walking it up the curve over the course of the year? Thanks.
Ben Moreland: Sure Dave, hi this is Ben. First of all, without addressing Sprint specifically what I’d like to talk about is the fact that, three of the four carriers have reported thus far and I think all of them in various ways have confirmed the need for macro sites being an integral part of their network now and in future, and that shouldn’t be surprising any of us that are close to the business. Macro sites i.e. towers remain the most attractive and cost effective way to cover a given geography with the spectrum that they own. That said, there are certainly hybrid sites and head net [ph] architectures that we participate in and many people do. That are going to augment the capacity of the networks going forward and that’s the whole small cell underlay approach. And frankly sites that look like crosses between macro sites and small cells, dark fiber fed and ultimately that sort of what CRAN architecture starts to look like overtime. When you think about our business fundamentally, it’s a capital intensive business. Goes with the lowest cost of capital, tend to win and when you introduced on top of that the notion of shared economics i.e. the carriers only pay for the proportion of the asset that they need. It’s an incredibly compelling model and it’s one that, I think, is going to continue to work as it has for the last 20 years for the indefinite future. So when carriers work on new deployments and new architectures with certainly an appropriate view to save cost, we’re going to be right there with them at every step of the way. And I can tell you that we’re working with all four carriers in that regard to utilize our cost of capital and the sharing model to be an integral part of their solution going forward. And so I think it’s been helpful for the last couple of weeks that three out of four carriers have confirmed that macro tower sites are an integral part of their model going forward. That’s not surprising to us. But I think this hybrid-type network going forward, is going to be very important and we’re incredibly well positioned with assets and capability to take advantage of that. But when you hear us talk about the cost of capital, it’s not simply just to lower the cost on the balance sheet, of our interest expense, it is very much to the most competitive company out there that can deploy capital assets on behalf of these carriers and make it very efficiently for them. And so that’s something we’re spending a lot of time on it, and executive team and I’m very comfortable with what we see in front of us.
Jay Brown: Dave and your second question, last year the 2015 increase in guidance over the course of the year about half of that was driven from an increase in leasing activity and about half of that was driven from lower non-renewals than what we had expected going into the year. And as we look at our guidance for 2016, we held that elevated level of leasing activities throughout the full calendar year 2016 such that leasing activity, we think this year will match that of 2015. As there are potential upside there, I’d point to the fact that typically in the business we have about six months to eight months of visibility – from the time we have an application coming from a carrier to the time it’s actually revenue producing. So we have a real good idea as to where new tenant leasing is going to be through at least the first half of the year or maybe dead-end of the third quarter. So to the extent that there was additional leasing activity over the course of year, that’s honestly more likely to impact our run rates going into 2017 then it is to be that meaningful to result in 2016.
David Barden: Got it. All right, thank you very much guys.
Operator: We go next to Ric Prentiss with Raymond James.
Ric Prentiss: Thanks, good morning guys. First I like all the comments congrats to Jay and Ben it’s been a great ride long time together in the tower space for us and looking back at my notes, I think Crown is up 4X since 17 years ago. So congrats to both of you guys.
Ben Moreland: Thank you. 
Jay Brown: Thanks. 
Ric Prentiss: First question, I’ve got is if a carrier does decide not to renew their lease, what triggers there? And do they have to remove the equipment and how much could that cost?
Ben Moreland:
Hence:
Ric Prentiss: Makes sense. Also this quarter we saw a pop-up in the SG&A line, can you talk a little bit about what is occurring there and can we think of that maybe as a revenue driver longer-term?
Jay Brown: Yes, the SG&A pop-up, a bit of that would be related to having Sunesys for all three months of the quarter Ric. And then the other part of it the business outperformed our bonus level for across the employee base for the full-year 2015 would have been above kind of our targeted level as we raised outlook throughout the course of the year and delivered and even exceed it in the fourth quarter. I think if you look at calendar year 2016, we think the run rate is basically unchanged from full-year 2015. So as we talked about on previous call, we think that there’s virtually no cost increase at the GAAP line on the tower side or on the SG&A side for calendar year 2016, and that would be based on the current level of activity that we see in small cells, ex cetera. We’ll obviously have some operating costs in small cells as we deployed brand new systems. But for most part on the tower side we think costs are flat and on the SG&A we think those costs are flat in 2016 to 2015.
Ric Prentiss: That make sense. And then on Sunesys, you’d talked in the past about some extension maybe that could be done half of those existing fiber that Sunesys brought in. Update us a little bit about what you’re seeing in that extension mode?
Ben Moreland: Sure. The rationale behind the 10,000 miles of fiber providing great bargains are Sunesys it would give is a great head start on small cell deployments and that’s exactly what it is. But it’s a head start, it’s not a perfect footprint and so as you referenced, we’re constantly working to improve that our network, just as we do with existing Crown fiber, where we get a new engagement and maybe there’s, as I’ve described before there’s always overlap. So when you think of a tower co-location which is 100% co-location on existing site, co-location or an additional deployment on a Sunesys piece of fiber, or Crown fiber is always a hybrid. So there’s always a percentage of overlap and a percentage of new typically. But in examples may be otherwise like Manhattan where there was pretty full overlap. So that’s working well. It drives our increasing created yield on the asset. As I mentioned in my remarks we’re up to about 8% on the embedded capital like to date. And so as we’re building additional, either additional laterals or accommodating co-locations, it’s essentially driving up that yield overtime. And we’re going to have better metrics for you in the coming quarters because I know this has got a lot of moving parts to it. And we’re going to come out with that for everyone to help their modeling later in the year. What we focus on as a management team is ultimately the yield on the invested capital. That cuts through all the metrics whether it’s tenants per node, or nodes per mile, or revenue per mile. And so we’re going to help everybody with that later in the year so that we can all be clear, but that’s why we’re giving you these sort of run rate yields, it’s validating for ourselves as well that we’re continuing to see accretive investments in that space.
Ric Prentiss: Great, thanks guys. 
Operator: We’ll take our next question from Brett Feldman, Goldman Sachs [ph].
Brett Feldman: Thanks, and also congrats to you guys, really exciting news. As we think about where you’re deploying capital, you sort of listed a couple of potential areas of discretionary investment. I might have missed it but I don’t think you actually include towers on the list. I’m curious whether you feel like the portfolio towers that you have today is essentially the portfolio you’ll be operating and generating returns off of for the foreseeable future. And then just as an extension you talked about the importance of small cells and how you’ve invested in that. And as you see your carriers kind of evolve, how they’re thinking about deploying venture networks, do you feel like the outdoor business that you have in the top 25 markets today is really what you need or do you see opportunities to create partnerships or make investments in other areas to further accelerate your positioning in that market? Thanks.
Ben Moreland: Sure, Brett. First of all, I didn’t mean to slide towers at all. We bought 17,000 sites in the last, I guess, three years that we’re looking for more tenants. So those towers we acquired from AT&T and T-Mobile most recently are very attractive co-location candidates. And probably, not probably absolutely represent the biggest value creation opportunity we have in the company. That is to co-locate on an existing tower and we’re quite happy with that going forward. The fact is that the carriers had essentially sold the vast majority of their site. There’s some small portfolios out there. And it has been somewhat aggregated by the three large carry tower companies. So I don’t see anything large on the horizon out there. It’s certainly not a requirement for us to create significant value as I mentioned the organic growth is what drives value around here. But I would also highlight, go back to 2001 and, 2000 and 1999, when essentially the carriers sold all their sites initially and then we went through a whole another wave of that some 15 years later. So we do think there’ll be a need for more tower sites overtime as cell sites continue to shrink and density requirements continue to increase. There’s nothing significant out there today and we are certainly advancing our leadership position on this newer architecture around small cells as we talked about. On the outdoor business for small cells, while we are about 90% focused in the top 25 markets, we’re constantly looking at opportunities outside the 25 markets. And so your question, I think, goes to sort of how big could this be? And the answer is, we don’t really know, but it looks like it could be sort of a whole another tower business. It’s hard, it’s expensive, it takes a long time to build these systems, but at the same time we are focused on what we think our franchise locations in something of a land grab that reminds us a lot of the early days of the tower business and so we’re focusing our efforts in the top 25 markets, but I don’t think it’s going to be limited to that. In fact I know it’s not, because we’re looking at opportunities occasionally outside those markets and looks like it’s got a long, long runway.
Brett Feldman: And that’s primarily outdoor opportunities, I mean it just seems like there’s a lot different types of small cell solutions, there’s indoor solutions and rooftops, and I’m just wondering whether those areas are peaking your interest as well?
Ben Moreland: Well we have an indoor business and we do quite well with it, where we choose to play we’ve done a lot of sports arenas, things like that. I think overtime you’re going to see multi tenant office buildings, but there are alternative solutions available to the landlords and tenants, when you get into a multi tenant facility, that don’t necessarily lend themselves to a neutral host owner like ourselves. A tenant in an office building can set up their own system or an office building can own their system, there’s lot of different variations. And then there’s a limitation in the marketplace still as to what the carriers will ultimately elect to pay for in terms of the rent. As we’ve said forever and we all know this, there’s more need in the market for densification and network and there are hours in the day or capital that the carriers can invest. So there’s a rational prioritization going on. I think you’re certainly seeing this extend to healthcare facilities now. And so we’re certainly looking at the indoor building business where there when we find it attractive. But it’s – I don’t think it’s as large as the outdoor business.
Brett Feldman: Okay. Thanks for that color.
Ben Moreland: Okay.
Operator: We’ll go next to Michael Rollins with Citi
Michael Rollins: Good morning and thanks to ask the questions, two if I could. Your first observation that you add more nodes on to relatively flat amount of fiber mile, is that a trend that should continue and how does that affect your return on capital opportunity from that business overtime? And then secondly, I’m curious what you’re seeing on the propagation side for small cells? And how would you compare the radius of a small cell in your expense versus the macro? And are there changes in technology that’s going to affect the relationship over time? Thanks.
Ben Moreland:
lease-up [ph]: On the second question, the propagation characteristics of small cells, there’s no simple answer to that question or one-size-fits-all answer to that question. Its designed based on what the carriers desire. And so you can go into a given area and find a small cell every 200 yards where they are trying to increase the density of their network. At other places you’ll see them spaced a little further than that. So there’s no easy answer to say that the propagation of a small cell, it has to do with what spectrum may deploy across that small cell, how much power they use. So it can vary. I would say in a typical urban environment, you’re going to cover about a block to two blocks of area when you deploy – when the carriers deploy small cells. And we’ll see them put up nodes about every other block would be a relatively normal deployment in a dense urban area. If you look across the entire portfolio on an outdoor basis where we’re typically when we’re building a new system for someone, we’ll be somewhere between 2 nodes and 2.5 nodes per mile of fiber on the initial deployment. So that gives you some idea of what we see and obviously there can be some pretty wide swings depending on whether or not we’re doing central business district or doing something a little bit outside of the most densely populated areas of the city.
Michael Rollins: Thanks very much.
Ben Moreland: Okay.
Operator: We’ll go next to Phil Cusick with JPMorgan.
Richard Joe: Hi, this is Richard Joe for Phil. Just wanted to follow-up a little bit more on a small cells, we wanted to get a sense of the competition is like small cells, how many RFPs are competitive and how is the pricing held up?
Ben Moreland: Yes, hi Richard it’s Ben. It’s very competitive and look we’re the leader in the space and we believe we have more capability for what we turn key deployments which all in building systems locating antennas on fiber that we build. But at the same time, there are other very capable competitors out there and we see competition in the marketplace. It goes back to my original comments about cost to capital matters in this business. And so that’s something that we focus on. Not going to get really into the specifics around the market, a lot of these systems are conducted through an RFP process initially, but at the same time what matters most to carriers obviously is the ability of the award winner to execute. And so we have seen opportunities come back to us on occasion, where the awardee may have had some challenges in the market. What matters most to carriers if they have a need for small cells is execution, meeting your milestones, getting on the air, so that they can accomplish the capacity enhancements that they are trying to do on their network. So I think it’s [indiscernible] I will say on that, it’s a highly competitive market these days.
Richard Joe: Great. And then a quick follow-up in terms of your guidance, should we think of this small cell business just ramping through the year or is this going to be more back-end loaded as the bills kind pile up, so to speak.
Jay Brown: On both the towers and small cell side the year is the bit back-end loaded, it’s about 40% of the activity in the first half of the year and about 60% in the second half of the year.
Richard Joe: Great, thank you.
Jay Brown: You bet.
Operator: We will take our next question from Jonathan Atkin, RBC.
Jonathan Atkin: Yes, so I have a question about the push out of the non-renewals and wondering which projects that refers to is it WiMax, or iDEN or one of two CDMA decommissions that’s been happening? And then just generally kind of your macro tower business, wondering what new developments are seen in your pipeline as it pertains to things like AWS-3, overlays or macro site densification or any and then I guess I have a quick follow-up on small cells. Thanks.
Ben Moreland:
,: The second question on the tower side, we’re seeing carriers do all kinds of things on the macro side. There’s been simplification [ph] activities there’s amendment that’s adding new technology, they’re supporting additional spectrum that we’ve seen and the mix of both amendments and new cell and brand new cell sites in 2016 is pretty similar to what we saw in 2015. So we’re not seeing any trends here that I would point to it as changes from what we saw in 2015.
Jay Brown: Just to add to that. John, just real quick to add that as we’ve pursued the small cell business we’ve talked about on this call and remain very enthusiastic about the opportunity, again the first thing a carrier does is add densification, is macro tower sites. And everywhere we’re building small cells there are macro tower coverages already there. So if you were to stand on the street corner where we have a deployment, you would already have a macro site covering, keyword covering that geography. And so we’re building small cell networks essentially and underlay approach in to add capacity to these networks. But certainly the macro tower site is what happens first and that’s continuing to be what we see on the tower side.
Jonathan Atkin: And then I guess segwaying into the small cell is there a different as of demand that are seen in terms of which carriers are coming on to your infrastructure? And then I guess related to that and related to what Mike was asking as well, is the nodes you expect to have this year, how much would be kind of a long existing fiber routes that have been activated with your infrastructure second or third tenancies if you will along the same route versus new laterals that haven’t been activated with your data infrastructure?
Ben Moreland: Go ahead, Jay.
Jay Brown: I was to about say on the first question, when we go into any given year there’s an expectation we have around ranges for each of the carriers. And I wouldn’t point to anything in calendar year 2016 that looks that much different than what we saw in 2015. We’re seeing activity on both the macro side, as well as small cells from all four of the operators. We saw that throughout 2015 and we would expect the same thing in 2016. On the mix of leasing in small cells, it’s about a 75% mix of where we’re deploying brand new systems in places that we did not previously have small cell systems and about of the leasing activity would be coming from co-locations on existing systems.
Jonathan Atkin: And then finally on the CFO search, any particular criteria that you are looking for in terms of the background of the individual you’re looking to hire?
Ben Moreland: Well based on some initial conversations, I think we can attract extremely seasoned and qualified candidates that we’re very optimistic there this spring, having a great new addition to the team and more to come on that.
Jonathan Atkin: Thanks, good luck.
Ben Moreland: Thanks, John.
Operator: We will take our next question from Amir Rozwadowski from Barclays.
Amir Rozwadowski: Thank you very much, and good morning. Simply want to echo the comments Ben, wish you the best of luck as you look to make, what I suspect we all, hope will be an exciting transition for you and your family.
Ben Moreland: Thanks.
Amir Rozwadowski: In terms of questions, I’ve two, if I may. On the first, you mentioned some of the upcoming spectrum that seems to be coming to market I mean obviously there have been selected carriers who’ve talked about the opportunity set in terms of providing additional bandwidth with deployment of fellow spectrum. But there have also been discussions about how networks are dense enough and how additional capacity. And I’m just trying to sort of triangulate in terms of the opportunities that for you folks, I mean do you see those types of carriers looking to densify their networks? How should we think about the potential amendment opportunities going forward with things like AWS-3 in terms of providing support for the longer term runway?
Ben Moreland: Sure, and I think what you’re referring to is Amir is the inherent trade-off that is between spectrum and densification i.e. to the extent you have more spectrum you can do more with your existing sites and within to lay the need to densify in a particular area if you otherwise didn’t have spectrum. And that’s true, and yet what we see is kind of all the above. So as the carriers come in and launch new spectrum, to get maximum efficiency out of that very expensive spectrum, they’re typically adding more equipment to the site, to the existing site. That just makes sense. The cost of that incremental amendment on a tower is nothing compared to getting the maximum value out of the spectrum in that particular geography. And that’s what is driving a lot of our amendment activity across all of the carriers and as has for years. I don’t see that changing. But in addition to that, you’re not going to cover the capacity requirements simply by adding spectrum to existing site. It’s mathematically impossible you can’t get the capacity requirements that are required. And so what happens is, in addition to adding that spectrum on existing sites, you’re then seeing small cells added in an underlay approach which gives them multiples of that spectrum, capacity, because they’re then reusing that spectrum in that geography and unloading, effectively unloading the capacity challenge on the macro side. So you’re going to see both, it’s exactly what’s driving our business today. The carriers are obviously being very rational about how do they prioritize their spend and they’re looking at spectrum auctions and having to pay for the spectrum up front. And then how do they maximize that capacity overtime. And then various carriers, they are in various stages of that today whether that’s cell site densification or macro site amendment. But all of that drives our business and it’s something that we think is going to continue for a long, long time.
Amir Rozwadowski: Thank you very much. And then dovetailing on to small cells, it seems as though the growth has been a bit higher than expected, but of course it also seems like we’re still at the very early stages of adoption, particularly when we think about sort of a neutral hosting business model. I mean, there has been some chatter in the marketplace with folks discussing opportunities to densify their networks going at it alone in terms of utilizing certain technologies or potentially possible rights of access or microwave backhaul or however you want to look at the combination of different opportunities. How do you sort of compare and contrast the opportunities that you folks have utilizing assets such as Sunesys or some of this land grab that you had mentioned versus carriers looking to potentially densify their network via small cells on their own sort of strategy?
Ben Moreland: Well, I think you’re going to see sort of all the above and it’s not new if you think about it. The wireless carriers essentially rebuilt the tower portfolio on their own balance sheet, since we as an industry acquired in the early 2000s and then elected to monetize it overtime in the last three years. I think carriers will from time to time experiment with lots of different methods to add capacities to their network, that’s not new. It goes back to the earlier comment and there’s a lot of different technology variations, I think, it’s generally accepted that fiber connectivity for small cells and towers ultimately through dark fiber connectivity provides the most flexibility and the most capacity for a given location. And so I think you’re going to see overtime that fiber, whether you’re talking about fiber-to-the-cell or fiber to the small cell, is a necessary element long-term to accomplish what they need. And it goes back to earlier comments on this call around cost of capital and the sharing model. Certainly it’s possible for carriers to work and build their own systems and certainly free to do that and operate under the same constraints that we do around permitting, and zoning, and rights away and things like that. But to the extent they can avail themselves of a lower cost of capital, allow themselves to put their capital back to work in their primary business and we pass along some of that shared economics to them in that construct, that’s going to make a lot of sense as it has for the last 20 years. And that’s what we’re pursuing.
Amir Rozwadowski: Excellent. Thank you very much for the incremental color.
Jay Brown: Sure.
Operator: We’ll go next to Simon Flannery with Morgan Stanley.
Simon Flannery: Great, thanks very much. Ben and Jay congrats and good luck on your next move. Ben I wonder if you just talk a little bit about your new roll, I guess you’re going to have a real focus on strategy. How do you see spending your time, and what are the real areas that you think you’re going to be able to do dive deeper into with your new responsibilities? And then sort of following-up from the last question for Verizon has talked about, a lot about 5G with trials coming up in the next month or two. Micro waves is going to be – frequencies are going be deployed there. Have you had much conversations with companies and with the equipment companies about the opportunities there and what that might mean, over say the next five or ten years? And we saw fixed wireless launched yesterday. So it does look like there’s other technologies which are really starting to appear on the horizon here. If you could talk to that, that would be great?
Ben Moreland: Sure. First of all on the role Simon, we’re filling out the list, but it keeps getting more items on it. I think initially, I’m going to certainly continue to spend time on industry matters, whether that’s your PCI or NAREIT. I’m on the board of both organizations and we’re making some good progress there in the interest of our company, as well as the broader industry. And I expect to continue in the capacity. And then also I would expect to continue to work the executive team on matters of strategy, capital allocations, some of the discussions we’ve had on the call. But would anticipate that given the longevity and tenure of the team, this executive team, and Jay in particular having worked together for 17 years and can finish each others [indiscernible], I do not think, we’re going to have a difference of opinion very often on strategy. So it’s really going to be a to the board and to industry matters that I think are increasingly important for us. As we look to continue to have the ability to deploy wireless infrastructure in a very efficient way across the country and just for those on this call that is not getting any easier, and so it’s something that I’m pretty focused on.
Simon Flannery: Any…
Jay Brown: Go on…
Simon Flannery: Any movement from NAREIT on sort of index inclusion?
Jay Brown: Nothing definitive yet, we will wait until August, and we have our new GICS code and see how that goes.
Simon Flannery: Okay. Thank you.
Ben Moreland: Simon on your second question, I think you can roll back the clock and see that as the carriers have migrated technology, that those have almost always been aimed at improving the consumer experience which is generally code for faster access to data network. And those have always resulted in additional need for network density. And I think regardless of – you rattled off a few opportunities that are on the horizon. And we’re seeing carriers behave and think about the network planning whether we’re talking to them about macro sites or small cells in a very similar way that it’s going to result in additional network density being required and we think that’s great for our opportunity, our opportunity as we deploy capital and see additional yield on the capital that we’ve already deployed.
Simon Flannery: Right, thank you. 
Operator: Our last question will come from Colby Synesael with Cowen and Company.
Colby Synesael: Great, thank you for fitting me in and to both of you congrats with your newer opportunities.
Ben Moreland: Thanks, Colby.
Colby Synesael: First up I wanted to kind of just levels of expectations around Sunesys. So can you just remind us how fast Sunesys grew in 2015? And then what the implied growth rate is off of the $105 million which you guided for 2016? I’d appreciate that. Sunesys contributed $42 million to you in 2015. But I’m just trying to get the year-over-year comparisons. And then just talking more about small cell, you mentioned your focus on 25 markets and obviously looking beyond that, in those 25 markets roughly how many of those are you – that where you’re comfortable with the amount of fiber that you have? And really what I’m getting at is, what’s the likelihood of you going and doing another Sunesys like acquisition in 2016, how important is that to you when you think of strategy in areas you’re focusing on for 2016? If that acquisition you were to do was to come with a larger percentage of enterprise or wholesale or is that definitely not small cell like business in terms of how they’re using that fiber. Is that a business you’re increasingly getting more comfortable getting into as we go forward, so that you’re no longer just a small cell fiber provider but really something much more broader than that. Thanks.
Ben Moreland: Sure. Thanks for the question, Colby. On the first question when we did the Sunesys acquisition I know initially when we announced that we weren’t sure exactly what the timing of the closing was going to be. The revenue growth year-over-year is a couple of million dollars. So the guidance that we gave you was what we were expecting in 2016. And really your two questions are fairly closely tied together. When we look at fiber in these markets and the opportunities that we’re seeing more broadly than just Sunesys and whether that’s expanding our portfolio on the top 25 market or as Ben referenced earlier if we’re looking outside of the top 25 markets, our aim is to own fiber that is supported by the wireless carriers. That’s our core business and that’s what we’re focused on. And so when we look at opportunities for fiber, that’s what we have in mind, of what can we do with that fiber ultimately to drive yield on the capital invested. And we think that yield is going to be primarily driven through investment by the wireless carriers and I was adding nodes to those or in some cases doing fiber-to-the-cell. There may be some acquisitions in the future, frankly as we talked about when we did the Sunesys acquisition we think that asset is really unique, it was dark fiber in major metro markets in the U.S. And while we have found a few tuck-in acquisitions like the one we did two years ago in the Baltimore, Washington area. Those are relatively rare. So we’re not thinking about this as getting into per se the fiber business or expanding into the fiber business. Over time, we may find opportunities to add additional yield through recurring revenue sources across the fiber that we own. Because of the location of the fiber it’s in urban areas where there’s a lot of density of population. And so we may find opportunities to add additional revenue and drive returns. But our focus both on the investment side as well as where we’re focusing our sales effort is around supporting our wireless carrier customers. That’s what we really want to do and what we want to be. So that’s where you’re going to see us invest capital and focus our time and effort both in the near-term and what we believe currently will be the long-term strategy of the firm. 
Colby Synesael: And just to clarify when you said Sunesys expectations you grew a couple of million, are you saying that the 105 guidance for 2016 is effectively a couple of million higher than what Sunesys did as a whole in 2015?
Ben Moreland: That’s correct. If we obviously we did not own Sunesys for the entire 2015 period. But that’s what it grew year-over-year. 
Colby Synesael: That’s great. Thank you. 
Ben Moreland: You bet.
Colby Synesael: Okay.
Ben Moreland: Well I appreciate everybody’s time on call this morning. Thanks for the questions I know there was a long lived cheer and there are several folks who probably did not get to. We’re around today so feel free to pick up the phone and call us or you can reach up Son Nguyen. And we’re happy to get your questions. And look forward to talking to you next quarter.